Anders Edholm: Good morning, and welcome to this presentation of SCA's 2025 Year-End Report. With me here today, I have President and CEO, Ulf Larsson; and CFO, Andreas Ewertz, to go through the results and take your questions. Over to you, Ulf.
Ulf Larsson: Thank you, Anders, and also from my side, good morning, and a very warm welcome to the presentation of SCA's results for the full year and the fourth quarter 2025. During 2025, SCA showed resilience. Despite increasing wood raw material costs, a challenging market environment and a currency headwind, we reached SEK 6.6 billion on an EBITDA level and by that an EBITDA margin of 32% for the year. Our high degree of self-sufficiency in strategic areas continued to be an important factor to mitigate higher costs. Harvesting from our own forest increased and reached 5.4 million cubic meters during '25, partly offsetting the higher cost of wood raw materials. SCA continued to gradually increase production in the sites where strategic investments have been made, and this has resulted in higher delivery volumes in comparison to last year, driven by the new paper machine in Obbola, the grading mill in Bollsta Sawmill, the biorefinery in Gothenburg and so on. These investments will contribute to increased productivity and cash flow generation during the upcoming years. The book value of SCA forest assets decreased slightly compared to last year and amounted to SEK 104 billion at the end of 2025. As you already know, SCA bases the valuation of the forest on complete transactions in the region where SCA owns land. Turning over to some financial KPIs related to the full year '25. As already said, our EBITDA reached SEK 6.6 billion for '25, which corresponds to a 32% EBITDA margin. Our industrial return on capital employed came out to 4% for the full year '25 and the leverage was at 1.7 after having finalized our big strategic investments. The proposed dividend for the AGM to decide on is SEK 3 per share, and this is in line with our aspiration to provide a long-term stable and over time increasing dividend to our shareholders. We handed out SEK 3 per share also last year. And finally, earnings per share was SEK 4.56. This slide will give you an overview of KPIs for the fourth quarter of '25, and our EBITDA reached SEK 1.2 billion during the fourth quarter, which gave us an EBITDA margin of 25%, driven by a negative currency effect and lower selling prices. Our net debt to equity remains on a solid level of 11%. I will now give some comments for each segment, starting with Forest. Stable harvesting levels from our own forest have contributed to balanced supply of wood raw materials to our industries during the period. We have seen a continuous long-term trend of increasing prices for both pulpwood and sawlogs and as can be seen in the graph in the bottom left. Regarding pulpwood, we have now passed the peak and prices have continued to come down during the quarter. Demand for sawlogs continued to be high, especially for spruce logs. When one compares Q4 '25 with Q4 '24, sales were up 10%, while EBITDA was up 3%, mainly due to higher prices for Wood raw materials. The storm in mid-Sweden during the end of the year had a limited impact on SCA land. We estimate that approximately 100,000 cubic meters has fallen. When we widen the scope to Sweden, we estimate that around 10 million cubic meters has fallen and the majority in Gävleborg and East Dalarna County. I guess we have also another 3 million to 4 million cubic meters in Finland. SCA will prioritize harvesting windfall volumes to support private forest owners, and this might have a minor impact on the total level of harvesting from our own forest during 2026. Harvesting activities in windfall areas will primarily be carried out from Q2 and forward. Windfall volumes will contribute to an increased availability of wood raw materials in this region. Over to Wood. And in general, we still have a slow underlying market for solid wood products. We continue to note signs of improvement in the repair and remodeling segment as well as a decreased production level in Germany, generating better supply and demand balance, especially for spruce. Stock levels remain on the high side among producers for pine, but are on normal levels for spruce. Stock levels at customers continue to be on the high -- on the -- sorry, on the low side. SCA had strong deliveries in the fourth quarter, resulting in a seasonally low stock level of sawn goods for us at the end of 2025. The price for solid wood products decreased by 5% in the fourth quarter of '25 in comparison with the third quarter same year. And this development is in line with what I said when I presented the report for the third quarter. As expected, the cost for sawlogs has increased from the third to the fourth quarter, and we will also -- we also expect them to continue to increase going into the first quarter '26. Sales were up 5% lower in comparison with the same quarter last year. EBITDA margin decreased from 17% to 6% due to higher raw material costs and the negative currency effect. Today's stock level of solid wood products in Sweden and Finland is described at the top left on this slide and is shown in relation to the average for the last 5 years. As mentioned earlier, we note that the inventory level is on the high side, especially for pine, while the SCA level is seasonally low. As can be seen in the diagram to the bottom left, the Swedish and Finnish sawmill production has been on a normal level during '25. In the diagram to the top right, we can note that the price decreased during the fourth quarter. The decrease in pine has been higher in comparison with spruce. Coming into the next quarter, I estimate the price on average will be unchanged in comparison with the fourth quarter with a stronger tendency for spruce related to a better balance. Going forward, we will closely monitor the market development in Continental Europe that is impacted by lower production, not the least in Germany. So coming over to Pulp. When comparing Q4 '25 with Q4 '24, sales were down 14%, mainly due to lower prices and a negative currency effect. The negative EBITDA development was also driven by lower prices and a negative currency effect. The cost for the planned maintenance stop in Q4 '25 was SEK 198 million compared to SEK 250 million in Q4 '24. Global demand for pulp was at a healthy level during the first quarter of '25. During the second quarter, the market changed with reduced demand and prices came under pressure much due to uncertainty related to U.S. tariffs. During the third and fourth quarter, prices on NBSK pulp was stable at low levels. On the demand side, we saw an increased activity in China. The weakening of the U.S. dollar in relation to the Swedish krona, which started already in Q1 continued to have a negative impact on the price in SEK also in Q4. Tariffs on NBSK pulp from the European Union to the U.S. were removed during the third quarter. This allows us to maintain a competitive offering to the U.S. Market rebates are expected to increase by low single digits in the U.S. and mid-single digits in Europe. PIX prices are expected to start to increase to compensate for the rebate. Looking at CTMP, prices were mostly unchanged in Europe and Asia at low levels during the fourth quarter. Inventories of softwood pulp were on the highest level during the fourth quarter. Hardwood inventories on the contrary were on average. CTMP inventories came down during the quarter to a more normal level. Moving over to Containerboard. Sales were up 8% in Q4 in comparison with the same period last year, driven by higher delivery volumes somewhat mitigated by lower prices and the negative currency effect. EBITDA was down by 6%, driven by lower prices and a negative currency effect. We have seen box demand moving sideways in Q4, but still with a positive development on a year-to-date basis of around 1.5%. The retail business remains a positive driver. On the other side, we continue to see a weak European manufacturing industry, which, for the moment, has a negative impact on the demand. European demand of Containerboard has developed like the box demand and has moved sideways in the last quarter compared to Q4 '24, but with slight growth for the full year. During Q4, we saw some closures of capacity in testliner, although not yet enough to balance the capacity started up in previous quarters. As can be seen in the graph, Kraftliner inventories remain above average level in Q4. Prices for brown kraftliner in Central Europe decreased during Q4 with EUR 20 per tonne, while white kraftliner has remained stable. We can see another negative price adjustment of EUR 20 per tonne in January. On the other hand, we now hear announcements of around EUR 100 per tonne price increase for testliner. And if that succeeds, I guess, we will have a price push also in kraftliner at the later stage. So finally, I will say some words about Renewable Energy. And in Renewable Energy, we have had a strong quarter compared to the same period last year, mainly due to higher production and stronger margins in our -- with St1 jointly owned by refinery in Gothenburg. In addition, we have had higher production and stronger deliveries in solid biofuels. Electricity prices continued to be low during the fourth quarter, but slightly higher than same period last year. Low electricity prices in the market impact on our wind business negatively, but is positive for SCA as a net buyer of electricity. SCA land lease business increased to 10.6 terawatt hours according to plan. This is equal to 20% of installed capacity of wind power in Sweden. The Fasikan wind farm was taken over by SCA by the end of 2025 and is now ramping up production. And with the Fasikan adding to our current power production within the group, we increased our self-sufficiency rate to approximately 100%. The market for solid biofuels in Northern Sweden continues to be weak but stable, and this fact increases our European export share and by that, a somewhat reduced margin. For liquid biofuels, we have seen continuous higher margins compared to previous quarters. And the main reasons for our European countries implementing RED III and better control mechanism within EU regarding imported products and feedstocks. And we expect market volatility in renewable fuels to remain high as Europe ramps up the blending mandates both in HVO and SAF. And by that, Andreas I hand over to you.
Andreas Ewertz: Thank you, Ulf, and good morning, everybody. I'll start off with the forest valuation and the 3-year average price, which we used in the forest valuation to get enough transactions decreased by 4% to SEK 372 per cubic meter. The 1-year average increased slightly and the market activity during the year was on the normal level. The valuation of SCA's forest assets decreased to SEK 104 billion in 2025. The decrease in the 3-year average price was partly offset by continued increase in standing volume to SEK 277 million cubic meters. Biological asset increased by just below SEK 1.8 billion, driven by increasing long-term prices for raw materials and higher standing volume due to the net growth, while the value of the land decreased due to lower prices for forest land. Prices for wood materials continue to increase. The slide shows the index price development for sawlogs and pulpwood paid by SCAs industries delivered to site. Prices are at a record high level with a continued tight market for sawlogs, especially on spruce, while the balance of pulpwood has improved. If we move on to the income statement and focus on the full year to the right. Net sales were stable at around SEK 20 billion. Higher delivery volumes and higher prices were offset by negative currency effect. EBITDA increased 8% to just below of SEK 6.6 billion, driven by negative currency effects and higher raw material costs, which were partly offset by higher delivery volumes and somewhat higher prices. The EBITDA margin was 32%. EBIT decreased to SEK 4.4 billion and financial items totaled minus SEK 433 million. With an effective tax rate of just below 20%, bringing net profit to SEK 3.2 billion or SEK 4.56 per share. If we look at the fourth quarter to left, EBITDA totaled SEK 1.2 billion and was affected by a planned maintenance stop in Ostrand by SEK 198 million. Net profit for the quarter totaled SEK 485 million or SEK 0.69 per share. Looking at the dividend. The Board has proposed a dividend of SEK 3 per share, which is unchanged from the previous year. On the next slide, we have the financial development by segment for the full year. Starting with the Forest segment to the left. Net sales increased to just below SEK 10 billion and EBITDA increased to SEK 3.8 billion, driven by higher prices for pulpwood and sawlog and increased harvesting from SCA's own forest. In Wood, net sales increased to SEK 6.1 billion driven by higher delivery volumes and higher prices, which was offset by negative currency effect. EBITDA increased to SEK 856 million, corresponding to margin of 14% and was negatively impacted by higher cost for sawlogs. In Pulp, net sales decreased to SEK 7.1 billion due to lower prices and negative currency effects. EBITDA decreased to SEK 752 million corresponding to a margin of 11%. The decrease was mainly related to lower prices, negative currency effects and higher cost for pulpwood. In Containerboard, net sales increased to SEK 7 billion, driven by higher volumes from Obbola and higher prices. EBITDA increased to SEK 1.1 billion, corresponding to a margin of 16%. In Renewable Energy, EBITDA was stable and totaled SEK 442 million, corresponding to a margin of 22%. The market for liquid biofuels improved during the later part of the year, while electricity prices continue to be low. Moving on to the quarter. And on the next slide, we have the sales bridge between Q4 last year and Q4 this year. Prices decreased 6% with lower prices in Pulp and Containerboard. Volumes increased by 7% due to higher volumes in mainly Containerboard but also Pulp. And lastly, currency had a negative impact of 6%, bringing net sales to SEK 4.9 billion. Moving on to EBITDA bridge. Starting to the left, price mix, a negative impact of SEK 370 million, and higher volumes had a positive impact of SEK 77 million. High cost for raw materials had a negative impact of SEK 37 million, which was mitigated by high degrees of self-sufficiency in wood raw materials. We had a positive impact from energy of SEK 41 million and a negative impact from currency of SEK 269 million. Others was impacted by lower costs from planned maintenance stops. In total, EBITDA decreased to SEK 1.2 billion, corresponding to a margin of 25%. Looking at the cash flow. We had an operating cash flow of SEK 3.1 billion for the year and SEK 529 million in the quarter. And as you know, other operating cash flow relates mostly to working capital currency hedges and should be seen together with changes in working capital. Moving on to the balance sheet. The value of the forest assets decreased to SEK 104 billion, working capital decreased compared to the previous quarter but increased year-on-year to SEK 5.3 billion. In the quarter, we have increased our harvesting rights of especially spruce, sawlogs for 2026 from private forest owners, which increased both inventories and payables, but no impact on the quarter's cash flow. Capital employed decreased to SEK 112 billion and net debt totaled SEK 10.9 billion, and we have now almost finalized our large ongoing investment projects. Equity totaled SEK 102 billion and net debt-to-equity was 11%. Thank you. With that, I'll hand back to you, Ulf.
Ulf Larsson: Yes. I mean, I'll try to summarize 2025. I think we have delivered a solid result given the current market situation. When we compare 2025 with 2024, I mean, we are negatively impacted by almost SEK 1 billion related to currency and also to raw material costs. On the positive side, now I can see that our strategic investments, they have started to deliver, and it's -- it will be interesting to see when we have a turning point in the market, what kind of leverage we will get from those investments. So by that, I think that we open up for questions.
Operator: [Operator Instructions] We will now take our first question from Ioannis Masvoulas of Morgan Stanley.
Ioannis Masvoulas: Just two questions on storm Johannes where you've given us some very useful color. But just to get your perspective on how things develop from here, assuming we do have the additional wood supply coming into the market, shall we expect to see an acceleration in the decline in pulpwood prices? And what would it mean for solar prices that have remained stubbornly high? And then second and related to the storm. Your costs, harvest costs were likely a bit higher in Q4 going into Q2 where you expect to focus on harvesting windfall volumes. How should we expect your harvesting costs to develop in Q2 and Q3 this year? And would that have a meaningful impact on your P&L?
Ulf Larsson: Okay. If we start with the cost, I mean, as I said, not more than 100,000 cubic meters has fallen on SCA land. And of course, when you take care of that part, that will increase the cost, but that's a minor part of the harvesting we do on our own land. But for private forest owners, okay, we will have increase in costs. And typically, I mean, the forest owner has to pay for the increase in cost level. So that will be no major impact on SCA in that perspective. When it comes to prices, I mean, as you say, for pulpwood prices, they have already start to decline, and that will step-by-step come into the accounts of companies as we have. I mean, we have a lagging effect, of course. But that will continue and maybe it will also -- yes, I mean it will not be -- pulpwood cost will not be -- that will be positively helped by the storm, that's for sure. When it comes to sawlogs, I guess the main part of what has fallen is pine. And maybe we start to see decreasing prices for pine and that will also, I think, after a while, come also for spruce. But during the first quarter, at least for SCA, I mean we have to take care of what we bought already in the fourth and third quarter. And that means, increasing sawlog costs in the first quarter. But then I guess, we start to see some decreases also for sawlogs. But as it is just now, I guess it's an oversupply. It will be at least in the second quarter an oversupply of pulpwood while it will be a little bit more stabilized situation for sawlogs.
Ioannis Masvoulas: Okay. And sorry, just -- sorry, go on.
Ulf Larsson: No, that's my view, more or less.
Ioannis Masvoulas: Very useful. And so, just one follow-up on pulpwood. What sort of cost development into your industries shall we expect for Q1 versus Q4?
Andreas Ewertz: Yes. On pulpwood, it's a low single-digit decline, around 2%.
Ulf Larsson: But on the other hand, for sawlogs, I guess, we will have almost an 10%...
Andreas Ewertz: Yes, 7%, 8%.
Ulf Larsson: 7%, 8% price increase. And then step-by-step, we will see reducing prices.
Operator: And we'll now take our next question from Charlie Muir-Sands of BNP Paribas.
Charlie Muir-Sands: Just firstly, on currency, I know you gave the -- in the statement, you gave the average hedging rates. It looks like those are still meaningfully ahead of latest spot market rates. So as things stand, should we continue to expect, sort of, a sequential currency headwind over the next couple of quarters, I guess, particularly on the pulp segment given the movement of the dollar? And then secondly, I'm sorry if I missed it, but have you given or can you share your thoughts on CapEx for 2026? And any early thoughts on where that might go to in 2027 as you complete wrapping up any final expansionary projects?
Andreas Ewertz: Yes. So, I'll start with the currency. You're absolutely right. We have -- I mean, for next year, on average, we hedge about 50% of our net currency exposure. So once those hedges goes out, of course, if the dollar stay at the same level, that will be a headwind. And if you look at our dollar exposure, if you include the indirect FX, meaning that we might sell in SEK or euro in pulp, but the price also depends on the fixed prices in dollar. If we include that indirect effect, our dollar exposure is around USD 700 million per year. And then on the CapEx side, our early estimate is around -- on current CapEx is around SEK 1.5 billion for next year and strategic CapEx, we have some spillover from this year to next year, suspecting that to be around SEK 400 million, maybe SEK 500 million. But after that, I mean, we have finished basically all of our strategic CapEx that we've currently decided on.
Charlie Muir-Sands: And then just briefly on pulpwood, as you've acknowledged, it's coming down. I just wondered, are you seeing at all any of your customers start to pressure you to pass those costs on in terms of lowering your prices in any of the industrial output grades?
Andreas Ewertz: I mean, prices are already very, very, I mean, low at the moment for our finished products. I think this lower cost will, of course, help our margins.
Operator: And we will now take our next question from Robin Santavirta of DNB Carnegie.
Robin Santavirta: First question I have is related to harvesting volumes. You have nicely increased those in line with your guidance a few years ago and land at 5. 4% now in 2025. What is the best guess for 2026 and 2027? Is it roughly harvesting volumes in line with what you achieved in 2025? Or is it higher or lower? What are the key, sort of, reasons for that?
Ulf Larsson: So, if we start with that one. I mean, we will -- I guess, we might see a minor decrease from our own forest as we now have to support private forest owners in our region, and we have some also agreements in place already, which is long-term good for us. I mean, we will place some of our resources in South from Sundsvall in Gävleborg and even further south to help it. I mean, 10 million cubic meter in a rather limited area, that's quite a lot and that will, of course, need some extra resources to take care of it. And we also have -- we have to fight against the time because now we had more or less 1 meter snow, which -- I mean, it's not too easy to go in there and start to do the harvesting operations. So, I guess, we will have a peak in the second quarter and as fast as possible to avoid getting the wood destroyed, blue stain and things like that. So that might have a minor impact on the harvesting volume from our own forest -- on our own forest.
Robin Santavirta: So for the full year, roughly the same or slightly lower, perhaps?
Ulf Larsson: Yes. I mean, it is around this level.
Robin Santavirta: All right. In terms of the European softwood pulp sales, can you shed some light on the discounts you have agreed for 2026, helping out with modeling here. And also in terms of the lease prices, where are they now at the end of January? And what's the outlook for the next month or 2 months? Just so we understand how the net price of the outlook is?
Ulf Larsson: Sorry, I didn't get it. Was it pulp or was it solidwood products?
Robin Santavirta: Yes, on pulp. I guess the discounts, the annual discounts for the year gone up a bit.
Ulf Larsson: Yes. You're right. I mean fixed prices, they were on 1,500, and now they have started to increase. And I guess we will end up in 1,550, maybe at the end of January, and we start to -- by that start to compensate for increasing rebates. But we will, as you can calculate, we will not do it in one quarter. I guess, we will see another price increase in February. And I guess also, we will see a third price increase in March. And at that time, I guess, we have at least compensated for increasing rebates. But that's the case. So, if you compare sequentially, if you compare Q1 with Q4, I guess we will have a lower price. We will have a lower price in Q1 in comparison with Q4. And in addition, you also have a stronger SEK against dollar, which have an impact also. That's harder to predict, but that's the case as it is just now.
Andreas Ewertz: And then Ulf guided previously on that the rebates in the U.S. is -- increases low single digits, while in Europe, it's mid-single digits. And that's the general market rebates.
Operator: And we'll now take our next question from Johannes of SB1 Markets.
Johannes Grunselius: Yes. It's Johannes. So I have two questions. The first one is on Containerboard. You did pretty well on volumes there or shipments, at least compared to my expectations. Could you share some color on that, sort of, ramp-up of volumes? And were you able to sell the new incremental volumes at market terms? Or were you -- did you have to, sort of, give hefty discounts there? If you could give some color there, please.
Ulf Larsson: Yes. I mean, we are happy with the ramp-up in Obbola. And as I said also before, we are close to 600,000 tonnes in 2025, which is according to plan. So, we are -- we will continue that work also going in now to 2026. And I mean, it's more a question about mix. I mean, as it is just now with the current market situation in Europe, it's not possible to deliver the extra volume, so to say, in Europe, so that we have to find places overseas. And by that, of course, we have as it is just now substantially lower margin. But again, our main focus just now is the ramp-up. And then I guess, we are looking forward to the point when the market turns because then we will have a good leverage also from those volumes. But as it is just now, we are impacted price-wise due to the mix, geographical mix.
Johannes Grunselius: Okay. That's clear. My second question is more on capital allocation. And of course, this is more of a question for the Board, but I try to ask it to you, Ulf, anyway. But the sort of SCA's way of distributing cash to shareholders has always been traditional dividends. But in the light that strategic CapEx is now coming to an end and in light of the share price valuation, are you increase -- do you have, sort of, more intense discussions about share buybacks going forward? If you can elaborate on that question, please?
Ulf Larsson: I mean, as you say, that's a question for our owners and the Board. And I think it was a sign of stability to keep the dividend at the level we had last year. And I mean, that's a sign of -- we believe -- I believe that we are now at the bottom of this business cycle. It's volatile, and now we are at the bottom. And also, I mean, we know that we are well prepared when the market turns. We have done big investments now, and we have ramped up them in a rather good way. And we are looking forward now to see increasing prices and then leverage from those investments. And as Andreas said, I mean, we have no big investments in plan now coming years. So I mean then, then let's see what kind of discussion we will have at that time. But for now, I mean, we are happy to deliver the same dividend as we did last year.
Operator: And we'll now take our next question from Oskar Lindstrom of Danske Bank.
Oskar Lindström: Three questions from me. The first one is actually carrying on from Johannes' question a little bit here about capital allocation, but I'm not going to ask you about the share buybacks. I mean, given kind of weak markets, structural challenges and that the Energy segment, at least my book presumably is attractive as it did a few years back. Where do you see your potential to sort of structurally grow earnings in the coming years? I mean, where could you invest to drive your growth? That's my first question. Do you want me to ask the other ones as well?
Ulf Larsson: No, if -- we can take the first one first, I'm happy. I mean, again, as we said, I mean, just now, we are in a challenging market environment. As you know, we have done a lot of big investments. We will grow our volumes. We have been growing our volumes also in both '24 and '25. And I mean, just now, we are 100% focused on delivering on those investments. I mean, of course, we will come back when this is fully ramped up and when we have started to see a slightly better market and by that also a strong cash flow, then I think it's the time to come back to the development. But just now, we are so focused on, do what we have started, to finalize what we have started.
Oskar Lindström: Yes, right. My second question is maybe for Andreas. Is there any impact from loss of emission rights on earnings in Q1 or for full year 2026? And if so, how much? And where have they been reported so far?
Andreas Ewertz: Look, we will have an impact if you look at '25 compared to '26 as now the new emission rules, ETS, is in place. That means that, if you look at our four big mills, Obbola and Ortviken will still be part of the ETS system, while Ostrand and Munksund, they are too good in their emissions. And therefore, they will strangely be removed from the system. On Ostrand, we don't have a surplus. That doesn't matter. But on Munksund mill, we will lose our emission surplus, which is about 100,000 tonnes of emission rights each year. And then if you look historically back, publication paper, Ortviken was the biggest receiver of emission rights. But that, we divested in -- or closed down in 2020. So that had the biggest impact, but now Munksund will be removed for next year.
Oskar Lindström: And if I may just ask a follow-up on the Munksund. Have you been selling those, the full sort of all the emission rights that you've been given each year? Have you sold them each year? Or have you built up a backlog? Or how should we calculate that?
Andreas Ewertz: We've usually -- some we sell internally to our logistics department, especially with 2025 when you have to have -- also buy emission rights for -- in the transportation sector, and the rest we have sold. So we will sell, we will lose 100,000 tonnes going forward.
Oskar Lindström: So we should assume, sort of, loss of 25,000 tonnes per quarter times whatever the average price was for emission rights?
Andreas Ewertz: Yes. That's correct.
Oskar Lindström: All right. Just a final question, if I may, on, I guess, the Wood segment. You mentioned this sort of dramatic or lower harvesting levels in the Central U.S. I presume it's as a consequence of the bark beetle infestations there. So two questions there. How dramatic is this decline in harvesting levels in Central Europe? And is there any sense that this is impacting or will impact the sort of the long-term timber and sawn timber supply for that region? Is it's the competitor that's disappearing?
Ulf Larsson: Yes. I guess, I mean, we see also as it is just now, the spruce market is substantially stronger than the pine market, and that's due to the balance, I would say. And the production level in Germany has been also lower for a while now. And I guess, one part of it is that it is trickier to get access to sawlogs and, of course, when you have a tighter balance, you have to pay more. And then as it is a marginal business, I mean, then they have in some areas taking curtailment. So the long-term effect, I mean, I don't -- typically, I guess, it will be tougher to get access to raw material in that area, especially in the Eastern part, where they were heavily hit by the spruce beetle and that is also -- I mean, long term, the estimation we've done is that we will have a strong balance for -- as a producer, we will have a strong balance for solid wood products going forward. But then, of course, it's also a volatile business. It will be impacted by the current business cycle. But we believe that solid wood products will be rather strong going forward as the material is needed, not the least. If we shall have a chance to mitigate the climate change and so on, I mean, we have to use non-fossil products, and that will be -- that will be good, I think, for that business going forward.
Operator: And we will now take our next question from Andrew Jones of UBS.
Andrew Jones: A couple of questions. First of all, on Containerboard. Obviously, we've seen some price hikes announced by some of recycled players. I'm curious what you make of the potential for price increases in the current market given the demand situation and oversupply? I mean, is there more potential in kraftliner, maybe given the market is a bit more balanced there? And my second question is on forest valuations. I mean, given, obviously, wood prices potentially coming down and obviously, rates going up as well. I mean, what are you seeing, hearing in your regions in Sweden in general on the sort of trends for valuations? Are you concerned about sort of more negative valuations as we go into 2026?
Ulf Larsson: I'll take the Containerboard market first. I mean, as I said, I mean, we have seen now some announcements. I don't know if testliner producers, if they have come through with price increases, but they have asked for EUR 100 per tonne, and they certainly need it as I think that many testliner producers, they are bleeding just now. Short term, we have seen gas prices coming up 35%. OCC prices still on the same level, but typically, they -- I guess they will also start to ask for more if testliner producers will come through with their attempts to reach higher prices. And when that happens, then, of course, that will give price push also for kraftliner in a later stage. And I mean that is now needed in the market. But I guess we have a chicken race out there. There's a lot of capacity is coming on stream for testliner. And so, I don't know when it will happen, but it will happen, and we are at the bottom just now. That's my estimation.
Andreas Ewertz: Yes. And if you look at the forest valuation, I don't want to speculate going forward. But if you look at 2025, activity was a normal basis and the 1-year average increased slightly during the year. And for next year, we see, in general, that the Swedish economy is improving. Wood raw material prices are coming down a bit. But usually, I mean, when you buy a forest asset, you have 100-year view on the forest prices or the wood raw material prices. So it's not -- I mean, it's the general long-term view that's the most important. But we'll have to see. But this year was slightly up on the 1 year average, but the 3-year average declined.
Andrew Jones: Yes. Okay. That makes sense. And actually, just a follow-up on the wood prices. I mean, you're talking about relatively modest declines, obviously, prices being pretty flat so far for pulpwood. Given the decreases we've seen in Finland. I mean is there any -- I mean, I would assume that Sweden would have followed to a greater extent already. Is there anything stopping prices sort of gapping down lower given the potential for arbitrage across the border? I mean, what's the -- what's are the thoughts there?
Ulf Larsson: Sorry, what was it wood raw materials? Was that pulpwood?
Andrew Jones: Yes.
Ulf Larsson: Pulpwood, yes, but I mean, we have seen pulpwood prices fallen also in our region. And as Andreas said, I mean, we will see some of it also in Q1, I guess, for pulpwood.
Andreas Ewertz: But it's this lag effect because, I mean, you buy on stumpage what -- I mean, what we harvest in Q1, we bought in Q2 and Q3 and Q4, you had this delay effect because you buy stumpage to write the harvest from the private forest owner.
Ulf Larsson: And also, you cannot just follow-up public announcements as you also, on top of that, have different premiums and things like that, which is individual for each buyer and for each market and so on. So, I mean, what you see announced will not be the -- exactly the same effect that you will have in the account, I guess. But you always have this lagging effect. But we are -- we have the same journey. And of course, now boosted by the windfalls we've seen in our region that will come -- that will also have definitely an impact on pulpwood prices.
Andrew Jones: And actually, just final one, just on context. I mean, what is the total size of the market in Sweden in terms of pulpwood consumption per year? I mean, how significant is that in the broader market?
Andreas Ewertz: I'm not sure. We have around 10% of the forest assets in Sweden, and we harvest around 5 million cubic meters from our own forest each year, just to have some kind of ballpark.
Ulf Larsson: But was it the total harvesting volume in Sweden, was that the question?
Andrew Jones: Yes, exactly.
Ulf Larsson: Yes. It's -- okay, sorry, it's around 85 million cubic meters per year.
Andrew Jones: Okay. So it's roughly 10% additional supply?
Ulf Larsson: Exactly 10%, 15% -- 10% between -- I guess, it will be 15%. And then also in addition, you have 3 million to 4 million cubic meters on the Finnish side.
Operator: [Operator Instructions] And we'll now move on to our next question from Cole Hathorn of Jefferies.
Cole Hathorn: I'd just like to follow up on sawn wood business. I just missed your commentary on what your expectation is of price declines quarter-on-quarter into Q1? And just on your sawlogs, I know you said they were -- they're going to be up around 7%. But just to clarify, that is Northern Sweden, I imagine the rest of Sweden sawlog prices are lower, just a clarification there.
Ulf Larsson: Yes. I mean, starting with the price development for Finnish products. As I said, from Q3 to Q4, we had -- the average price was down 5%. From Q4 over to Q1 2026, I guess we will have a flat price development. But what we didn't expect really was the -- we have had another impact from -- negative currency effect impact, of course. But I guess it will be close to zero. On the other hand, for us, as I said, we will have close to -- yes, 7%, 8%, you said, increasing log prices. And I mean, we cannot comment what will happen in other parts of Sweden, I guess. The reason for that for us is that we thought it would be a very tight situation coming into the first quarter, not the least for spruce log. So we bought rather big volumes in the fourth quarter. And I mean, we couldn't know or expect that we should have a big windfall in our region between Christmas and New Year. And if we would have knew that, then, of course, we should have acted differently. But now we have to take care of what we bought.
Cole Hathorn: Also, and just a longer-term question on wood products. I mean, we've seen CBAM boosting the cost of cement, the cost of steel, import restrictions, increasing prices of these construction raw materials. Do we see wood as kind of an underappreciated beneficiary? When do people look at the construction costs of sawn wood and say, we should start using more of this product? Or is that just too far away into the future? And then following up on Containerboard, we've seen some of the U.S. players talk about slightly better order books, slightly better demand. I'm just wondering, are you seeing any more positive trends in the containerboard and bauxite at this stage or not yet?
Ulf Larsson: I mean, starting with solid wood products. I guess, we are pretty positive to the future market for solid wood products. Then again, it's always a balance between what you have to pay for the raw material and what can you get out from the market. As you know, more than 70% of the cost for the sawmill is related to the raw material, of course. But I mean, we feel that the demand for solid wood products is -- I guess it's okay as it is just now, and we see an improving trend also for coming quarters now. And let's see where we will end up. But...
Andreas Ewertz: I think, Q2 is usually typically a stronger quarter.
Ulf Larsson: Structurally, I think that, I mean, in many cases, people have tried to turn from -- also from fossils over to non-fossil materials. And I mean, that will also benefit the solid wood business going forward. So I think we are positive long term in this field. And then about Containerboard. I guess, we had -- if we look into last year, I mean, the consumption was up 1.5% during last year. And also when you look at the box demand, as you saw maybe on the slide I did show, I mean, you have a positive -- the trend is positive. Then again, I think what is harming the balance just now is that we have seen a lot of new capacity coming on stream, not for testliner. I mean, the only capacity in kraftliner is what we are providing the market ourselves in -- from Obbola. But otherwise, in testliner, we've seen a lot of capacity coming on stream. Some has been closed, and I guess some more capacity will be closed. And I guess we have, for that reason, a little bit of chicken race just now out there, and let's see where and when that will -- how and when that will end up. So I guess, but then you asked about consumption. Honestly, I don't think -- I think we are -- it is a rather slow market out there, at least for us being in Europe and might be a little bit better in U.S. and also in other regions, we have a slightly better demand. But again, the price is, of course, lower when we have to go overseas with our volumes. So that is -- and that has also impacted the result for us as we are now ramping up Obbola. That was not a very clear answer, but it was a trial at least.
Operator: And we will now take our next question from Pallav Mittal of Barclays.
Pallav Mittal: I have two of them. So firstly, can you talk a bit about the adverse mix impact that you highlighted for your pulp and the containerboard business, especially over the last couple of quarters? And do you expect that to continue in 2026 given the weakest demand that we are seeing in Europe? And just to follow up, what are your expectations on CTMP pricing in the near term?
Ulf Larsson: Did you get the first one?
Andreas Ewertz: Can you repeat the first question, please?
Pallav Mittal: Just asking about the adverse mix impact on your pulp and containerboard business?
Andreas Ewertz: Okay, yes. Okay. Yes. So, what we saw in -- especially in Q4, as Ulf mentioned, we had lower delivery volumes in Europe due to a weaker market, which means that we sold a larger part in Q4 in overseas market. And I think that was partly because -- I mean the weak market, but also because that customers knew that the rebates were going to increase at the beginning of the year. So they ordered as little as possible, of course, during the quarter. As you know, the rebates were kicking in the 1st of January. So I think you might have some positive effect there, but the weak market. I mean, we still expect that in Q1.
Ulf Larsson: And the second one was around CTMP. I don't know if I get you right. But I mean, the demand is still slow on CTMP. And I think we and also other producers are -- we are taking curtailments now when we have a high energy price. And so, I mean, we do a marginal calculation. And by that, we have reduced capacity as it is just now from Ortviken. Price-wise, we have not seen any increase in rebates in '26 in comparison with '25. So the price is more or less sideways. And the business we have in Europe is, it's okay. But then again, it's tough for us to come from Europe over to Asia not the least and make some money on it. So, we monitor this carefully, and we do this marginal calculation where we have to calculate on the marginal wood cost and also marginal energy cost for CTMP.
Pallav Mittal: Sure. If I can just squeeze one more in, and this is regarding the first quarter of '26. I appreciate there are a number of moving parts. But can you help us understand, I mean, sequentially, how we should think about the first quarter, especially given the declining prices, negative effect but some support from the pulpwood cost side of things. So is it fair to assume a very similar EBITDA in Q1 despite having a zero maintenance?
Andreas Ewertz: Yes. So we won't -- we don't give direct guidance. But if you just look at the moving parts, we had a maintenance stop in the fourth quarter, and we won't have any maintenance stops in Q1. On the pulp side, we see no maintenance stop, but the increase in rebates and negative currency effect as a negative and as a positive slightly lower pulpwood costs in containerboard. It's, as Ulf mentioned this in the beginning of the quarter, this minus EUR 20 per tonne in prices. And then we'll have to see if this testliner prices goes through, that might have a positive impact if you go through that at the end of the quarter or Q2. And then in solid wood products, we see fairly stable prices, a bit better on spruce, but increasing sawlog prices. And then in Forest, we harvest seasonally a bit lower in Q1 compared to Q4. And then other costs, OCC is slightly cheaper. Also transportation cost has go down slightly.
Operator: And we'll now take our next question from Alexander of Pareto Securities.
Alexander Vilval: Just a quick question regarding harvesting. If you could elaborate a little bit on expected -- the harvesting volumes sort of in the next few years? And also with regard to biological assets, what kind of long, sort of, term growth rate you see regarding harvesting specifically?
Ulf Larsson: I mean, as I said, I mean, this year, we reached 5.4 million cubic meters. And I guess, next year, we will -- yes, if not do that as we have to support some forest owners in windfall areas, we will do that, of course. But I mean, we will remain on around 5 million cubic meters. So that's it.
Andreas Ewertz: And on biological assets, we -- it will -- we expect it to be slightly lower, the revaluation, next year compared to this year. But we still have -- I mean, we look at the long-term average trend price of wood raw material prices, and that will still increase even if the prices go down next year, the long-term average will still go up. But impact will be a bit lower next year compared to this year.
Alexander Vilval: And on volumes in that calculation?
Ulf Larsson: In the volume term.
Andreas Ewertz: No, the prices will go up and the volumes is based on our latest harvesting calculation, that would be unchanged.
Operator: That was our last question, and I will now hand it back to the host for any closing remarks.
Anders Edholm: And that concludes our presentation of the year-end report. Welcome back in April for our first quarter report. Thank you, ladies and gentlemen.